Operator: Good afternoon, and welcome to the DHI Group First Quarter 2023 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Todd Kehrli with MKR Investor Relations. Please go ahead.
Todd Kehrli: Thank you, operator, and good afternoon, everyone, and welcome to DHI Group's 2023 first quarter earnings conference call. With me on today's call are DHI's CEO, Art Zeile; and CFO, Kevin Bostick. Before I turn the call over to Art, I'd like to cover a few quick items. This afternoon, DHI issued a press release announcing its 2023 first quarter financial results. The release is available on the company's website at dhigroupinc.com. This call is being broadcast live over the Internet for all interested parties, and the webcast will be archived on the Investor Relations page of the company's website. I want to remind everyone that during today's call, management will make forward-looking statements that involve risks and uncertainties. Please note that except for the historical information, statements on today's call may constitute forward-looking statements within the meaning of the federal securities laws. These forward-looking statements reflect DHI management's current views concerning future events and financial performance and are subject to risks and uncertainties. And actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include the risks and uncertainties discussed in the company's periodic reports on Form 10-K and 10-Q and other filings with the Securities and Exchange Commission. DHI undertakes no obligation to update or revise any forward-looking statements. Lastly, during today's call, management will be referring to specific financial measures, including adjusted EBITDA, adjusted EBITDA margin and adjusted diluted earnings per share that are not prepared in accordance with U.S. GAAP. Information about and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings release, a copy of which you can find on our website at dhigroupinc.com in the Investor Relations section. I'll now turn the conference over to Art Zeile, CEO of DHI Group.
Art Zeile: Thank you, Todd. Good afternoon, everyone, and welcome to our 2023 first quarter earnings conference call. Thank you for joining us today. We are pleased to report that we delivered 12% revenue growth in the first quarter as employers continued to use our subscription-based offering to find, attract, engage and hire the highest quality tech professionals. There continues to be a significant demand for technologists even in this difficult environment as companies continue to invest in technology initiatives. During the first quarter, employers in the United States posted job openings for approximately 813,000 tech jobs. And the tech unemployment rate remained near all-time lows at 2.3% in April, with approximately two job openings for every one tech worker looking for employment. Our two subscription-based offerings, Dice and ClearanceJobs, are career marketplaces that are focused on serving the technology job market and feature candidate profiles that incorporate technology-specific skills. Subscribers, which are either staffing or recruiting firms, large enterprises or government agencies, use our proprietary tech skills mapping taxonomy and search algorithms to find the perfect match for their job posting from our 7.4 million technologist profiles. Now let me dig into the performance of our two brands during the first quarter. Starting with Dice. Revenue for the quarter increased 9% year-over-year. Given the uncertainty inherent in today's economy, we refined our sales strategy as we entered the new year. First, we focused on existing client relationships. Many of our clients have been with us for over 10 years. They know our value proposition. Last year, we developed a customer health score to track multiple engagement KPIs and ensure that clients are seeing the maximum value from our platforms. If a client's health score drops, we dive in to diagnose the problem. As a result, our overall Dice revenue renewal and retention rates remained solid at 92% and 105%, respectively. The attrition we have seen continues to be concentrated on clients with less than $10,000 in annual spend. These are generally smaller staffing and recruiting firms. The second shift was to be laser-focused in our new business team's sales targeting efforts. As I like to say to our team, we need to sell to the customers that are buying. We use the Lightcast job analysis data feed to understand in real time which firms have significant tech hiring needs. Four industries are continuing to hire technologists aggressively even in a recessionary environment: aerospace defense, business consulting, finance banking and healthcare. We have asked our new business teams to focus in on these specific verticals. For the quarter, we brought on new clients like Edward Jones, Bechtel and the Department of Transportation. The third refinement has been to sell to larger, more stable customers. We know that larger clients can ride out a tough economy much more successfully than smaller ones. The positive results of this strategy are seen in our Dice annual contract value, increasing again this quarter by 11% compared to Q1 of 2022. This is a challenging economic environment, but we are building a better go-to-market strategy and, ultimately, a more valuable company through the changes we have made. Dice bookings grew at 2% year-over-year during the quarter. Because we maintained a healthy revenue renewal rate, this metric is a reflection of new business sales cycles continuing to be longer than what we'd normally experience in the non-recessionary economy. This makes sense as all CFOs are scrutinizing new vendor spend much more so than they did in the years past. Dice commercial accounts continues to be our most significant growth opportunity with over 100,000 companies in the United States meeting our ideal customer criteria. The staffing and recruiting industry continues to be a significant growth opportunity for Dice as well with over 18,000 staffing and recruiting firms operating in the United States. The latest staffing industry analyst forecast for tech staffing spend indicates 5% growth this year, down from last year, but still more than the pre-pandemic annual growth rate. Now let's turn our attention to ClearanceJobs, where we have two substantial growth opportunities that are less impacted by the current state of the economy. The first is the government contractor market. We currently have approximately 2,000 contractor clients, but we know that over 10,000 cleared employers can use our services. The second growth opportunity is selling ClearanceJobs subscription offerings directly to the multitude of U.S. government agencies that need highly qualified technologists and are competing against the private sector for these candidates. During the first quarter, our CJ revenue increased 21% year-over-year, and our revenue renewal and retention rates remained strong at 95% and 109%, respectively. We had another solid quarter for bookings, which grew 15% year-over-year, adding several new clients, including Ciena Corporation, Jaguar Defense and the Electric Power Research Institute. Now let me quickly touch on what we're doing to drive increased adoption of our two brands. During the quarter, we launched a new feature on Dice called Invite to Apply. With this new feature, recruiters can signal to candidates that they have the right skills for a particular job. We also launched a new feature on Dice called Candidate Match Score. This algorithm looks at a candidate's skills and experience and grades the candidate for the job they are considering. The grading mechanism gives candidates more confidence to apply to a job, and we have already seen our apply rates jump as a result. In a tight labor market, we believe these types of features can improve our recruiters' ability to find and attract the highest quality tech talent. Given the explosion of interest in generative AI, we too started experimenting with ChatGPT to help candidates write a personalized cover letter as part of their application process. DHI Group has implemented artificial intelligence in our platforms for over a decade. In fact, our core search algorithms are based on AI models that we have patented in the U.S. We also continue to focus on expanding our technologist community through our brand advertising campaigns. These campaigns drove roughly 48,000 new Dice candidate registrations each month during the quarter. As a result, we now have about 6 million Dice members, and they made 1.7 million visits each month to the site. Adding tech professionals to our marketplaces attracts more employers, which in turn makes our platforms more valuable to tech professionals, creating a virtuous circle. We also continued to deliver product innovation in ClearanceJobs during the first quarter, launching a new feature that allows candidates to raise their hand and express interest in a position. This action is well short of completing an entire application, but is a key signal for recruiters building their candidate pipeline for any job search. Despite being launched late in the quarter, candidates have already used this new feature tens of thousands of times, and we have received very positive feedback from recruiters, who are benefiting from it. During the quarter, we also continued to gain traction with ClearanceJobs enhanced employer profile, which gives employers an advantage by boosting employer branding. While we are still in the early stages of rolling out this offering, we successfully sold several employer profiles in the first quarter, generating incremental revenue for each of these existing customers. We have just rolled out an equivalent enhanced employer profile offering for Dice customers in the second quarter. As I mentioned earlier, we know from our Lighthouse data feed that the aerospace defense vertical continues to be one of the sectors that is hiring tech talent aggressively despite this uncertain economy. As a result, we increased our ClearanceJobs’ subscription rate card pricing at the beginning of the year. We expect to benefit from this higher pricing as increased defense spending flows to new projects. Before I turn the call over to Kevin, I want to talk about our expectations for the rest of 2023. We continue to believe that ClearanceJobs will deliver double digit bookings in revenue growth. We believe Dice will continue to deliver solid revenue renewal and retention rates, but we’ll also likely see extended sales cycles in deferred decision making for new business relationships. With these headwinds to Dice new business, we now expect full year DHI Group revenue to grow between 5% and 6% year-over-year. With this in mind, we too plan to be cautious with our spending in this environment and are committed to delivering increased adjusted EBITDA margins as we move through the year. We delivered a 21% adjusted EBITDA margin in the first quarter and we expect that margin to steadily increase each quarter into reach 25% as we exit the year.  So in summary, despite the challenging macroeconomic environment, demand for technologists continues to be significant. And with our industry leading offerings in our large target markets for both Dice and ClearanceJobs, we have several levers to drive bookings and revenue growth for years to come. On that note, let me turn the call over to Kevin, who will take you through our financials and then we’ll take any questions you may have. Kevin?
Kevin Bostick: Thank you, Art. And good afternoon everyone. Let me take you through our financial results for the quarter. We reported total revenue of $38.6 million, which was down 3% sequentially and up 12% year-over-year. Total bookings for the quarter were $53.6 million, up 6% year-over-year. Dice revenue was $26.9 million, which was down 4% on a sequential basis and up 9% year over year. Dice bookings were $37.6 million, up 2% year-over-year. We ended the quarter with 6,171 Dice recruitment package customers, which is down 2% from last quarter and down 1% year-over-year. Our average annual revenue per Dice recruitment package customer was up 2% sequentially and 11% year-over-year to $15,672. Approximately 85% of Dice revenue is recurring and comes from annual or multi-year contracts. Our Dice revenue renewal and retention rates remained strong during the quarter with the revenue renewal rate at 92% and the retention rate at 105%. These metrics continue to demonstrate the value of the Dice products in recruiting technology professionals. ClearanceJobs’ revenue was $11.7 million, up 1% sequentially and 21% year-over-year. Bookings for CJ were $15.9 million, up 15% year-over-year. We ended the first quarter with 2078 CJ recruitment package customers, which is up 1% from the fourth quarter and up 8% year-over-year. Our average annual revenue per CJ recruitment package customer was up 3% over last quarter and up 11% year-over-year to $20,520. Approximately 90% of CJ revenue is recurring and comes from annual contracts. For the quarter, our CJ revenue renewal rate was 95% and CJ’s retention rate was strong at 109%. These outstanding renewal rates demonstrate the continued value CJ delivers in the recruitment of cleared professionals. Turning to operating expenses first quarter operating expenses were $38 million compared to $33.7 million in the year ago quarter. This increase is due to our investment in our sales team as well as third party marketing spend to drive increases in marketing qualified leads. In addition, we continued to invest in our broader brand awareness campaigns to drive technologist’s growth on our platform. For the quarter, we had an income tax benefit of $514,000 and loss before taxes of $54,000. Our tax rate for the quarter differed from our normal expected rate of 25% due primarily to a $472,000 benefit from the vesting of shared base compensation. For the quarter, we had net income of $460,000 or $0.01 per diluted share. For the prior year quarter, we had net income of $1.3 million or $0.03 per diluted share. Adjusted diluted earnings per share for the quarter was $0.00 compared to $0.01 for the prior year quarter. Diluted shares outstanding for the quarter were 45.2 million compared to 47.2 million in the prior year quarter. Adjusted EBITDA for the first quarter increased 16% to $8.1 million, a margin of 21% compared to $6.9 million or a margin of 20% in the first quarter a year ago. Operating cash flow for the first quarter was approximately zero. The first quarter is traditionally our highest quarter for working capital consumption. There are several reasons for this. First, we pay out our annual bonuses in February. Secondly, we paid December and January commissions in the first quarter, both months of which are the highest booking months in the year. Third, first quarter is when approximately 80% of our employee equity grants vest, which in turn drives share purchases by DHI to cover the income tax withholdings. In addition to these considerations this year, we also had our CARES Act payment due in January, which was a deferment of employee taxes during the pandemic. From a liquidity perspective, at the end of the quarter we had $5.4 million in cash and total debt of $46 million under our $100 million revolver. Net borrowings during the quarter was $16 million compared to $10 million in borrowings in the prior year quarter. The difference between the two quarters was largely driven by the fact that we paid a portion of our 2021 bonuses in December of 2021 for tax purposes. Borrowings are currently down $5 million to $41 million, as we continue to generate positive working capital. We continue to target approximately one times leverage for the business. Deferred revenue at the end of the quarter was $58.8 million, up 4% from the first quarter of last year. Our total committed contract backlog at the end of the quarter was $124.2 million, which was up 17% from the first quarter last year. Short-term backlog was $97.5 million, an increase of $9.7 million or 11% year-over-year. Long-term backlog, that is revenue to be recognized in 13 or more months, was $26.7 million, an increase of $8.5 million or 47% from the prior year. During the quarter, under our share buyback program, we purchased approximately 743,000 shares for $3.5 million, an average price of $4.76 per share. As a reminder, during the first quarter, we finished our previously authorized $15 million buyback program and started a new $10 million program that runs through February, 2024. Of the $10 million authorized $8.2 million remained available at the end of the quarter. In addition, we purchased approximately 899,000 shares for $5.3 million to cover income tax withholdings associated with the vesting of employee shares during the quarter. As Art mentioned, the current economic uncertainty continues to lengthen our sales cycle and impact our new business teams. As such, for 2023, we now expect our total revenue to grow in the 5% to 6% range year-over-year with the second quarter revenue growing at 4% to 5% year-over-year. Like most other companies, we are continuing to manage our expenses closely as we focus on EBITDA and cash flow for the balance of the year. With that, we expect adjusted EBITDA margins in the second quarter to be similar to the 21% we had in Q1 with margins expected to expand at 25% as we exit the year. We also expect to continue reducing our debt outstanding throughout the year. To wrap up, we are very pleased to see our retention rates remain strong driving our revenue growth in 2023. Our customers recognize the value of our platform and their need to stay on it to be successful. Additionally, the fact that we continue to add a significant number of new technologists each quarter to our marketplace further validates our offering, adding value to the marketplaces that we have built, setting us up for continued bookings and revenue growth for years to come. And with that, let me turn the call back to Art.
Art Zeile: Thank you, Kevin. I would like to thank all of our employees again for their hard work this past quarter. It is a pleasure to be part of such a great team. With that, we’re happy to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Eric Martinuzzi with Lake Street. Please go ahead.
Eric Martinuzzi: Hey guys. So good news on Q1 and bad news on the guide. If we go back 90 days ago when you gave the outlook for 2023, it was a challenging environment when you gave that view. So just curious to know what happened in the subsequent 90 days as far as what you heard from the sales force, maybe what you heard from the prospects because it sounds like it was a new business issue as opposed to a retention issue?
Art Zeile: That is exactly right. Just to put the big picture out there, you nailed it, Eric. We believe that our existing customers have been renewing at the same basic range that we've seen in the last two years since we've made substantial improvements to our account management processes. So this is a phenomena that is definitely focused on new business team activity and what we're seeing is that the sales cycles continued to be lengthened. And what we did for our forecast this quarter, which is a little bit different than what we did for our last forecast that we announced was we took the low point in terms of bookings, performance for the new business teams during the quarter and we flatlined it for the remainder of the year. Our previous forecast basically had an anticipation that there would be a better environment in the back half of 2023. We've basically eliminated that, that part of the forecast. And Kevin, if you have any additional thoughts, please jump in there.
Kevin Bostick: No, that's – that's completely accurate.
Eric Martinuzzi: Okay. And then you talked about areas, healthy industries. I was kind of surprised maybe to hear that banking and finance you characterize as healthy. There's definitely at least in the regional banks the last two months have been kind of a banking crisis there. Do you feel like that the folks you're talking to in the banking finance, is this a different part of the market that you're seeing healthy banking finance as opposed to what I would've assumed was a more challenging vertical?
Art Zeile: Actually, we have seen that the banking industry acknowledges that they're moved to online and mobile user experience is mission critical for them. And so we've seen a healthy amount of pipeline activity and actual converted clients this first quarter. We did mention one name in the banking industry, but we picked up about, I'd say 10 banks as new customers in the first quarter. And clearly it is an area that is under addressed continuously, but I think that this, there is a healthy view of what is mission critical for the long-term success of these banks that actually do survive, and we haven't picked up any regional banks, just to let you know.
Eric Martinuzzi: Okay. And then I know you talked about sales cycles lengthening due to macroeconomic concerns, but do we have issues of sales execution or do you feel like the team's doing the best they can, given the environment?
Art Zeile: Yes. That's always a great question as to whether or not it is execution or it is a matter of just the overall environment and so we believe that the team is executing as best as they can. I would tell you that what we've seen is that any lead that we enter into our system is now worked as hard as possible because there's almost a feeling that it's a precious – a precious commodity for us.
Eric Martinuzzi: Okay. And then the cash outlook for – given the revised forecast for the year, we were – our cash from ops in Q1 was roughly breakeven. What are we thinking about for FY23?
Art Zeile: Yes. So we don't provide specific guidance on components of the statement of cash flows, but we do think as a guide here that we will get down to roughly that one times leverage. So we think we'll generate enough cash to continue de-leveraging. We also will generate enough cash that we will continue to execute the buyback program, which is based on a grid, but that 8.2 million remaining is probably a pretty fair proxy of what we will spend for the balance of this year or maybe even a little bit into 2024 as it does expire in mid-February of 2024.
Eric Martinuzzi: Got it. Okay. Well, thanks for taking my questions and good luck.
Art Zeile: Thank you very much, Eric. Appreciate it.
Eric Martinuzzi: Thank you.
Operator: [Operator Instructions] The next question is from Zach Cummins with B. Riley Securities. Please go ahead.
Zach Cummins: Okay. Hi Art and Kevin. Thanks for taking my questions. I mean, just starting off with Dice, nice to see the renewal rates there, but little bit of a downtick in your overall customer count. I mean, can you just speak to, is it really just more of a loss of customers at the lower end of the market and not enough to backfill that or how are you thinking about overall Dice customer count moving forward?
Art Zeile: It is exactly that. I think that we're seeing the same phenomena that we saw during the COVID period of 2020 when the economy basically shook the tree and the smallest customers fell out, and that's what we are seeing with Dice specifically. We can – we know that the churn is associated with these accounts that are less than 10,000, so they are literally two-thirds of our average account size on Dice. These are the – these companies are generally the smaller staffing recruiting firms, but is exactly as you're describing it, Zach.
Zach Cummins: Got it. And when it comes to your more targeted approach for Dice, I mean, can you talk about the progress in terms of targeting those four verticals that are still hiring tech talent at this point?
Art Zeile: Yes. I'll tell you that we have this data feed called Lightcast and it basically tells us on a daily, weekly, monthly basis the number of tech job openings by company in the United States. So we look at the top of the list and we know that the top of the list largely consists of those four verticals. Now what are we doing? We are tuning our marketing and our sales approach to those four verticals. As one example, we have campaigns – digital marketing campaigns that are vertical specific that are going out to our various digital channels like Google 360 and LinkedIn. We also have tailored our marketing materials so that they are vertical specific. We have our email drip campaigns now geared towards those four verticals. So we're trying to align all of our marketing activities towards these verticals to encourage those decision makers within them to essentially reach out, fill out a form on our site and that's when the sales team jumps in and starts to engage.
Zach Cummins: Understood. And then shifting over to ClearanceJobs, continue to see nice performance from that business. It sounds like just given the position of strength that you're in right now, you were able to implement additional price increases, so I'm just curious of how that could potentially impact our ARPU as we keep progressing in the coming quarters?
Art Zeile: Well, we hope that it absolutely does improve our ARPU and just to make sure that you're aware, Zach, this is for new business activity, so we're not going back to reprice up the existing customer accounts. This is what the new business team is selling as part of the relationships that they're building. So that ARPU change will take place over the course of time, but it was intended to essentially make sure that we're getting the full value for what we've delivered in terms of capabilities on CJ.
Zach Cummins: Understood.
Kevin Bostick: Yes. I was just going to add color. It's also will be embedded in our retention rates for existing customers, Zach. So we do to Art's point, we don't immediately go out to existing customers, but it becomes kind of that new pricing threshold as we renew contracts each year.
Zach Cummins: Understood. That's helpful. And then final question for me is, is just given the challenges that you're seeing on the top line, nice to see the adjusted EBITDA margin expansion that's expected here especially in the second half of the year. So can you just talk about some of the areas that maybe you're dialing back investment right now and how that's going to flow through into better margins as we exit this year?
Art Zeile: Yes. So I'll hit on a couple points, Zach. First we're evaluating every part of third-party spend, and so whether that's different software agreements, whether that is things like T&E. We are evaluating all of that. We're looking at our marketing spend and understanding what is the appropriate spend in this environment. As an example, a significant amount of our marketing spend is actually around getting technologists onto our platform. And sorry, there's an emergency going on here in Denver with a storm. But we believe that we don't need to spend as much marketing spend to get technologists onto our platform in this environment. The other thing I would say is we do look at the people side, so we scrutinize the structure of the organization, span of control, areas like that and so we will, as people leave the company we evaluate backfills. What I would say right now we have very few open backfills because we realize we can become a better, smarter company. So we're looking across the board at all of our expenses and really targeting those that we believe will be impactful on the financial side, but not impactful on the business side.
Zach Cummins: Understood. That's helpful. Well thanks for taking my questions and best of luck with the rest of the quarter.
Art Zeile: Really appreciate it, Zach. Take care.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Art Zeile for any closing remarks.
Art Zeile: Well, thank you Garry, and thank you all for joining us today. As always, if you have any questions about our company or would like to speak with the management team, myself and Kevin, please reach out to Todd Kehrli and he will help you arrange for a meeting. And thanks everybody for your interest in DHI Group and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.